Operator: Good morning. And welcome to INDUS Realty Trust 2022 Third Quarter Earnings Conference Call. This call will be followed by a question-and-answer session. [Operator Instructions] It is now my pleasure to turn the program over to Ashley Pizzo, Vice President of Capital Markets and Investor Relations at INDUS. Please go ahead.
Ashley Pizzo: Thank you, and good morning, everyone. Welcome to our 2022 third quarter earnings call. In addition to regularly available earnings materials, INDUS has also published a supplemental presentation, which is available on its website at www.indusrt.com under the Investors tab. The conference call will contain forward-looking statements under federal securities laws, including statements regarding future financial results. These statements are based on current expectations, estimates and projections, as well as management’s beliefs and assumptions. Forward-looking statements are not guarantees of performance and actual operating results may be affected by a variety of factors. For a list of those factors, please refer to the risks listed in the company’s most recent 10-K filing as updated by its quarterly report on Form 10-Q and subsequent quarters. Additionally, the second quarter, I am sorry, the third quarter results press release and supplemental presentation contain additional financial measures such as NOI, FFO, core FFO, AFFO and EBITDA. These are all non-GAAP financial measures. The company has provided a reconciliation to those measures in accordance with Regulation G and Item 10e of Regulation S-K. The company speakers this morning are Michael Gamzon, INDUS’ CEO, who will cover recent activity, market conditions and updates on our pipeline. He will be followed by Jon Clark, the company’s CFO, who will cover the third quarter results in detail. After the prepared remarks, the line will be opened up for your questions. With that, I will turn the call over to Michael.
Michael Gamzon: Thanks, Ashley. Good morning, everyone, and thank you for joining us today. The operating fundamentals in the industrial market remain quite good. Tenants are active in our markets and supply remains relatively in check due to strong absorption and the continuing delays in the delivery of new buildings. With that said, we recognize the overall macroeconomic environment remains uncertain with inflation running high and interest rates significantly above the levels at the start of the year. The resulting increase in the cost and availability of capital has impacted the investment sales market with very few transactions occurring, and also started to slow down new development starts. Within this backdrop, we believe INDUS is well positioned and prepared for a changing market environment. We effectively have prefunded the majority of our upcoming acquisition and development pipelines, which includes having all fixed rate debt at well below current market rates. We also continue to look to recycle capital, notably undeveloped land. We are focused on maintaining high occupancy and actively leasing upcoming deliveries, and we generate cash flow from our portfolio, which we expect to grow significantly as recent and upcoming developments and acquisitions roll into our NOI. Speaking to our current results, in the third quarter, we continued to deliver strong internal and external growth. Our portfolio is well leased at 97.6%, with the only vacancy in the recently delivered two building development in Orlando. We have no bad debt expense in 2022 to-date and all of our leases are triple net. We have effectively addressed most of our lease rollover through the end of 2023, with leases accounting for only approximately 2% of our total portfolio square footage expiring before 2024. Of the upcoming role, we do have one vacancy expected in the near-term as the tenant that leased our 234,000 square foot delivery in Connecticut has been able to get fully operational in the new space quicker than expected, and therefore, be vacated into existing 73,000 square feet in short order. Since last quarter, we successfully retenanted the property in Charlotte that we acquired earlier this year. This new lease to an investment-grade rated retailer was at a rent 39% above the previous amount paid by the short-term in-place tenant and resulted in a yield 50 basis points above what we had originally forecasted we would achieve at the time of the acquisition earlier this year. We also completed a renewal extension in Hartford with a global delivery company. This company exercised the last of its existing one-year fixed renewal rights in September, and during that process, they sought to secure their access to the space for longer term. As a result, a few weeks ago, we executed an additional two-year extension with this tenant, with a 16% increase in starting rental rate over the recent renewal rent. We are making good progress on leasing up the recent Orlando delivery and feel good about the current tenant activity and the very strong rental rates in recent proposals, which we believe will result in us exceeding our most current underwriting. We continue to experience strong rent growth across our markets and we currently estimate the mark-to-market rent in our portfolio at 26% on a cash basis and 31% on a GAAP basis. We believe we are conservative in our estimates, typically using known lease comps rather than quoted rates or the levels on current proposals. Additionally, our portfolio is relatively young and has grown significantly. This quarter’s mark-to-market calculation was impacted by an unusually large number of newly added developments and signed leases amounting to nearly one-fifth of our estimated rent on a go-forward basis. Given how recent these leases are, they have a lower mark-to-market opportunity and also had very little impact on our third quarter cash NOI. We estimate that this group of leases lowered our mark-to-market calculation this quarter by several hundred basis points. With respect to our pipeline, we have leased 60% of the remaining vacancy in Nashville, leaving this project with one vacant space of 42,000 square feet for which we have good tenant interest. We have pushed the closing on this acquisition to the latter half of the first quarter of 2023. The buildings are essentially complete, but there’s been a delay in completing the connection to public sewer, which we require to close on this acquisition. Since the start of the year, we have added over 900,000 square feet, representing an 18% increase to our in-service portfolio. We expect our three most recent developments, Chapman’s Drive in the Lehigh Valley, 110 Tradeport in Connecticut and Landstar Logistics in Orlando, to generate an initial stabilized yield of around 7% using the actual in-place rents at Chapman’s and Tradeport and our current estimates for Landstar at a 95% occupancy level. This is well above our initial underwriting at the time we put the land sites under agreement or even when we commenced construction. As we continue to evaluate land for future development opportunities, we believe we remain conservative in our budgeting. Our initial underwriting assumes our view of today’s market rents and construction costs, even if the delivery is two or more years away and we initially assume a 95% occupancy at stabilization. Our current development pipeline includes one project of 206,000 square feet in the Lehigh Valley, which we expect to complete late in the second quarter of 2023. The Lehigh Valley market remains very tight with asking rents above $10 per square foot and supply in core locations remaining in check given few remaining development opportunities. We have a very well-located project at an attractive basis that we feel will deliver a strong return. Since we do not have construction commencement dates for several of our other land sites, we are now listing these as land for potential future development rather than including them in our active development pipeline. This quarter, we disclosed on new land site under agreement in the Charlotte market, where we expect we can build four buildings totaling just under 600,000 square feet. The necessary approvals for this site include an Army Corp permit, which extends the time to complete the entitlements. Therefore, we do not expect to close on the purchase of this land until later in 2023. So any significant investment remains a bit far off. Overall, construction is continuing to experience certain challenges, including ongoing permitting delays by understaffed municipalities and shortages of key -- certain key materials, which are somewhat exacerbated by Hurricane Ian. That said, we are starting to see improvements both in cost and lead times in some areas, such as structural steel and we expect these trends to continue to improve. We have a number of first-generation leases signed or expected in our pipeline and we expect some of these near-term construction matters to continue to push out the lease and rent commencement needs beyond what we have typically experienced. We continue to proactively order materials, building more improvements into the base development designs and work with our tenants earlier in the process on their needs to try to mitigate all these impacts. We continue to believe the long-term outlook for logistics properties remain strong and we will continue a very targeted pursuit of land and building acquisitions. The current uncertain environment we believe will produce good opportunities. As an example, we already are seeing a slowdown in certain proposed development starts, as developers that rely heavily on debt financing are reevaluating opportunities and dropping some land sites. We have the financial flexibility to pursue select opportunities, while maintaining conservative leverage ratios using the capital on our balance sheet, undrawn lines of credit and asset recycling. On that last point, we have our small flex office portfolio under contract for $11 million and the closing is expected later this quarter. As a reminder, this portfolio is carried in discontinued operations, so it’s not included in our reported NOI or core FFO metrics and -- though the sale remains subject to typical closing conditions. Additionally, we have several undeveloped land sites under agreement for a total of approximately $25 million, which we have put on a schedule in our supplement. The largest is a $15.5 million potential sale of 48 acres of industrial land on Goodwin Drive in Connecticut. The buyer intends to build a 450,000-square-foot manufacturing facility for its own use on the site. The other parcels represent the sale of nonindustrial land in Connecticut and Southern Massachusetts. All of these sales, including the office flex portfolio are subject to a number of contingencies including receipt of necessary approvals for the buyer’s intended uses and note the potential closings will take place over the course of 2023. In aggregate, if all these sales were to close, we generated over $35 million in proceeds or about $3.50 per share, with no impact to our existing NOI, while providing dry powder for future investment. I will conclude with thanking the INDUS team for their continued hard work and exceptional performance. We take great pride in our very low employee turnover and is through our team’s effort that we achieve our strong results and are in a position for future success. With that, I will turn it over to Jon for a financial review.
Jon Clark: Thanks, Michael. We are pleased to report strong performance again this quarter. Core FFO for the 2022 third quarter was $5.7 million, a 52% increase over the comparable quarter of the prior year and up 15% from the second quarter of this year. Core FFO benefited the most from the growth in NOI. NOI from continuing operations was $10.2 million for the third quarter. That’s up 34% from the prior year’s third quarter. The largest contributor to the growth was the net addition of 1.2 million square feet to our portfolio over that time period. NOI growth was also driven to a lesser extent by leasing activity and escalations. Additionally, the 2022 third quarter included a one-time lease termination fee of just under $400,000, which we mentioned last quarter and that was included in our prior guidance provided. AFFO for the 2022 third quarter was $3.8 million, compared to $3 million for the prior year period. Maintenance capital expenditures were $810,000 this quarter, which were primarily related to seasonal repaving projects. We also incurred $513,000 in second-generation leasing costs, mostly related to TI work on recent renewals and new leases. Cash same-property NOI for the 2022 third quarter was up 13.7% versus the comparable 2021 period. About 8% of this increase in same-property NOI is related to the burn-off of free rent on tenant leases, comprising about 348,000 square feet. The remainder of the increase is related to the commencement of leases on previously vacant first-generation space and standard lease escalations. Our same-property portfolio has been 100% leased for the last several quarters and while our leasing spreads have been strong, we have only had a few leases expire this year or expected next year, all of which may impact same-property NOI growth in future quarters. Wrapping up just a few things on the income statement. Interest expense was $1.5 million for the third quarter. This is net of $430,000 of capitalized interest, which was largely unchanged from the second quarter’s numbers. We would expect that capitalized interest for Q4 will be lower given the recent deliveries of 110 Tradeport and Landstar. General and administrative expenses were $2.9 million in the third quarter or $3 million if you exclude the benefit of the non-cash mark-to-market charge related to the non-qualified deferred compensation plan. One item to add for future consideration on G&A is the sale of the office flex portfolio that Michael mentioned, includes office space that we occupy in Connecticut. So going forward, our G&A will include approximately $200,000 annually for occupancy costs related to leasing the space from the new owner of the portfolio. Finishing up here on liquidity and debt, at the end of August, we repaid our $26.3 million floating rate construction loan with cash on hand, reducing our outstanding debt balance to be $141.3 million. Right now, 100% of our debt is fixed rate or swapped to fixed at an overall weighted average interest rate of 4.13%. Debt to third quarter annualized EBITDA was 4.6 times or 3.8 times net of cash. Our $150 million delayed draw term loan, which we completed and swapped into a fixed rate in early April was well timed as we believe the term loan market has become more difficult to access. Many of the larger banks have pulled back on financing due to their own capital requirements and rates have moved considerably since then. With our current facility, our liquidity at the end of the third quarter was $216 million, which reflects $26 million in cash, $90 million of available draws on the term loan and $100 million of borrowing capacity under the revolving credit facility, which is undrawn. We expect to draw approximately $30 million on the term loan in the fourth quarter, with an expectation that the balance will be drawn in the first half of 2023, again, all of which has been hedged at an effective rate of 4.15%. With the term loan fully drawn, we expect to remain at conservative debt-to-enterprise value ratios. Further, we effectively have no debt outstanding that matures before 2027. With our current credit facilities, cash position, income from the portfolio and capital recycling that Michael discussed, we are well positioned to complete our pipeline and pursue select opportunities. Our new term loan includes an accordion feature that could grow this bank facility from its current $250 million up to $500 million. We also will continue to look for diverse and attractive sources of capital to fund future growth. But importantly, we are well capitalized to fund our current activities, which will add another 1.2 million square feet or nearly 20% of the portfolio in 2023. Lastly, in this quarter’s release, we provided some additional earnings guidance information for the fourth quarter. We estimate NOI from continuing ops of between $10 million and $10.3 million for the fourth quarter. This results in a full year NOI estimate of $38.1 million to $38.4 million, which is up from our prior guidance of $36.5 million to $38.0 million last quarter. This forecast reflects our expectations that no new additions to our portfolio and no significant new lease commencements will occur in the fourth quarter. We estimate G&A for the fourth quarter, excluding the mark-to-market charge for the non-qualified deferred comp plan to be $3.1 million to $3.3 million. This will bring the full year G&A forecast to between $11.3 million and $11.5 million, which is down slightly from last quarter’s full year guidance. The full year forecast includes the benefit year-to-date from the non-cash mark-to-market of our non-qualified deferred compensation plan, which overall has lower G&A for 2022. Without this benefit, our G&A for the nine-month period would have been about $9.1 million as opposed to $8.2 million. As a reminder, we typically forecast this amount of zero and exclude the amount from our core FFO calculation. Finally, we estimate interest expense to be $1.7 million to $1.8 million for the fourth quarter. This interest expense reflects the benefit of the paydown from the construction loan in August and it’s partially offset by the scheduled draw on our term loan a little later this quarter. Guidance also assumes a lower level of capitalized interest in the fourth quarter as compared to year-to-date levels due to the completion of several projects in the third quarter. Michael, that’s all I have with that.
Michael Gamzon: Thanks, Jon. I want to thank all of you today -- on today -- all of you here today on today’s call and all of our stockholders for their continued support. Our business is performing well and we are optimistic that despite the current macroeconomic and capital market environments that we are well positioned to grow our cash flow, net asset value and most importantly, shareholder value over the long-term. That concludes our prepared remarks and I will turn it back over to the Operator for your questions.
Operator: [Operator Instructions] Our first question is from Dave Rodgers with Baird. Please go ahead.
Dave Rodgers: Yeah. Good morning, everybody. Michael, I wanted to go back to the acquisitions that you have got under contract, the forward purchases that you have done a while ago. Maybe give us your comfort level with those today. I know I think you quote a 5.1% to 5.5% average underwritten yield, I am wondering what that might be on today’s rents, but also kind of your comfort with stepping more into land acquisitions or forward purchases, just kind of given where the capital markets are?
Michael Gamzon: Yeah. Thanks, Dave, for the question. I think as we disclosed the underwritten yields kind of in that low- to mid-5% range at 95% occupancy and that’s using our estimate of rents as of today, not upon delivery. So we are just using our best guess of market rents. I mean, a couple of those are expected to deliver in the first quarter, a couple of them are a little bit later towards the second quarter or third quarter, we are seeing really good activity on the two, obviously, the Nashville one is -- the bulk of it is leased. The one in Charleston, we are seeing very good tenant activity at rates right in line with where our most recent forecasts are or better. So we still think really like all those projects, we think they are really well located, really good quality buildings, really perfect for the markets they are in. So we are excited to have those deliver and think we will be really successful leasing them up and generating good returns. In terms of future forwards, they still are out there. I think today we are probably a little more focused on trying to find land opportunities ourselves. Yeah, I think, as I mentioned earlier in the call, we are starting to see a number of deals sort of fall apart that others have land sites under control.  I think that’s a mixture of capital availability, both on the equity and debt side, cost of debt and probably some more uncertainty as to where exit cap rates are for merchant builders, but we think that creates a really good opportunity on land. Land sellers typically are a little bit sticky on price, principally because often they don’t really have any debt. It may be farmland they have owned forever. But that said, there are some motivated sellers out there. There are people who have land under agreement that’s getting dropped and if we can find the right parcels, we think that’s a good opportunity. We think -- it takes a while to entitle it. So it gives us some time to work through the land, evaluate the cost and make a good judgment going forward. So we are focused on land. You have the right forward opportunity came along. We certainly still will look at that and we continue to look at acquisitions. And again, we don’t typically do long-term single net stabilize. So everything almost falls into the value-add bucket and we think we will increasingly see some opportunities there, either as debt needs to get refinanced as people adjust to the new normal in the capital markets or what have you. So kind of looking at everything, but that’s how we think about what we have today and where we are looking.
Dave Rodgers: I appreciate all that color, Michael. And then maybe just one more for me, on the leasing front, obviously, maybe it focuses on the same kind of bucket of assets under acquisition or under contract. But are you seeing any slowdown in terms of the conversations that you are having with tenants taking longer, fewer tenants kind of coming to the assets, putting things on hold. Is that part of what’s happening or is it you just have the time to complete? Just a little more conversations or color on the conversations around leasing would be helpful as well?
Michael Gamzon: Sure. I think, as I always said, our portfolio is growing, but it’s still not huge and we, certainly, other than typically on the new properties we have either developed or are buying. We are not leasing doing 10 leases a month. But we are leasing properties, and obviously, we are speaking to brokers in all the markets we are in weekly, if not more, and getting a sense of the environment. So, overall, activity still remains really good. The projects were actively leasing such as Florida, Nashville, Charleston, in particular. I’d say tenant activity is really good. In terms of tenant decision-making, I think, it’s always been a mixed bag. Typically, when you deal with big multinationals, they are slower. They just have many levels of approval to go through and that’s still consistent. Is there a little bit less urgency? Maybe on some part, because five months ago when they were looking for space or eight months ago, if they didn’t agree to it within the first week, it was gone or the price went up $0.50 a foot and it was leased ahead of them. Maybe, but honestly, in Florida, we are seeing tenants move very quickly, because sudden they realize they need the space. Additionally, I think tenants have realized it just takes longer and longer to get their permits and approvals to build out their space. So some are eager to sign space up earlier when they need it. So I think it’s a mixed bag. I don’t think, I could say, we have really seen from our view, a real trend that things have slowed in any material way or companies have become a lot more cautious or a lot slower. We may have a company that pushes off their plan for six months, but then two more proposals come in from other companies that need the space immediately. So it feels like it’s likely going to start slowing just based on headlines and everything you read and I read in the press. But our leasing activity in certainly in all the markets we are active in still feels really good to us.
Dave Rodgers: Thanks, Michael.
Michael Gamzon: Thanks, Dave.
Operator: The next question is from Christy McElroy with Citi. Please go ahead.
Craig Mailman: Guys, this is actually Craig Mailman here with Citi. Michael, I wanted to just go back to your commentary about maybe land banking a little bit more versus the forward developments here. Could you just kind of discuss high level your thoughts of kind of risk mitigation return differences that you would need to kind of take the development risk on yourself versus buying out a partner just on the construction timing standpoint? And also just given the size of the balance sheet and the liquidity, the thought process beyond having that non-income producing asset on the balance sheet versus using that capital for something that’s maybe more operating in nature quicker?
Michael Gamzon: Yeah. Thanks, Craig. Yeah. So I think on the development side, we have been developing industrial as a company for 25 years. We have a lot of experience doing it. It’s something about more -- two-thirds of our portfolio is stuff we have developed ourselves or maybe it’s down to 60% with recent acquisitions. But, so we feel very comfortable having developed through several cycles, whether it’s 2000, 2008, et cetera. So development is something we are very comfortable with, obviously, we recognize there is more variability in your potential returns on development and buying a finished asset at a fixed cost or an existing building. So as we think about underwriting development, I think, as we have described before, we try to be really conservative in terms of rent and estimating where we think rents are today, even if the building is not delivering for a couple of years and taking a pretty conservative look at construction costs. So even just thinking about our pipeline, I think, the last time we talked about our pipeline before the recent deliveries. I think we guided, we said, it was in kind of the low- to mid-6% yield range. I think we mentioned today that the three recent deliveries kind of are at a 7% or 7 plus overall yield benefiting from better rent growth and other things. So we think we are -- we understand that risk and we build a good enough margin into it. And as we think about development going forward, if you take kind of even that low- to mid-6% range today, if that’s what we are targeting for future land sites. My view on it is, typically, if we have a land site today that’s going to go through entitlements, that could take a year plus, for example, the Charlotte land and then another, call it, year for development, we are two years away. We think likely based on current trends there will be rent growth from today, two years from now. But if there isn’t rent growth, we would expect, that’s because demand has cooled off significantly, and if that’s the case, we sort of view there’s some likely the fact that construction costs are going to come down, right? There’s a supply and demand element to cost of construction, as well as input costs, an example of that is structural steel. Structural steel was $4 a building foot in 2019 and it went to $16 a building foot in the last year, it’s down, call it, to $14 today, but that was purely supply and demand driven. If demand cools off, that could come down, it could double and go down to an $8, but that’s still a pretty material cost savings. So we think there are some moving parts there that give us some room on the development side. We also like the development and getting your comment about balance sheet and using capital into land. But still for a lot of these transactions, land cost is a fairly small amount of the purchase price. And typically, our history has been we have entitled land and we pretty much put into production fairly quickly after being entitled. It could be something like the Charlotte project, which is up to four buildings, so we would build that in phases. We have typically gone SPAC or pre-leased or found build-to-suits before we started construction on the land. So we try to get returns on it as quickly as we can. That said, we do like that land gives us some flexibility that if we find a great land site entitle it and a year from now the market conditions aren’t great. It’s not a huge amount of capital tied up in something that isn’t generating income and we think in today’s market, having really good land sites, and I mentioned, potentially the market is getting more conducive to finding that in the near-term is really valuable, right? In certain markets, it’s just very, very difficult to find well-located land sites. Development keeps getting pushed further and further away from where the ideal locations are. So we think there’s incremental value over time to having those, as we ride through whatever cycle or cycles may happen. So we think that’s an important part of the business. I think, all that said, we are recognizing we don’t want to have a lot of capital tied up in assets that are not going to produce income for an extended period of time. So we are just going to balance where our capital goes into. We find kind of recycling our noncore land holdings in Connecticut, which effectively are zero income sitting kind of on our balance sheet at a very low basis and putting that into other land for development in markets we plan to develop is a good use of recycling those proceeds. But we are also cognizant of trying to build up our cash flow as well. So we will look for the right opportunities. We really want to allocate capital to where we can get the best returns, with some recognition of obviously taking into account risk and some recognition of when cash flow is going to start. So, hopefully, that answered your questions.
Craig Mailman: No. No. No. That was helpful. And just from a capital perspective, you guys have the $216 million of liquidity and the other $35 million of assets that are under contract that will eventually be sold. So you are somewhere in the range of kind of $250 million of liquidity. Of that, I guess, you could -- if you strip out the line, the balance is kind of locked in, because you are swapped out and then you have the cash and then the proceeds. Kind of what do you guys view your cap on near-term capacity to stay within your leverage kind of targets?
Michael Gamzon: Yeah. I don’t think we have kind of formulated that out publicly, but we think kind of your roll forward our development pipeline, our capital. We end up at a pretty conservative debt-to-EBITDA number kind of once we stabilize those assets and fully fund them. As you mentioned, we have the capital recycling, we generate cash from the business itself. So I think as we look at leverage, we really think about where the peer range is and we don’t want to be too far out of line on the peer group, but we still see incremental capacity there for us to have some additional leverage as a capital recycling cash flow and we will see when the opportunities present themselves, as Jon alluded to in his remarks. I think our goal is to keep the business somewhat simple from a balance sheet point of view. But if we get down the road and we don’t think equity capital is an appealing avenue somewhere down the road, we want to be mindful of our leverage. We put our capital recycling to use. We will have to think about potential other structures, whether it’s a JV or something else. But today, we feel really good about our balance sheet, good that we do have some dry powder to take advantage of land or existing building opportunity as they come, but we will keep things in mind.  The other thing we think about when we think about our leverage ratio is just, we look at both debt-to-EBITDA and a little bit at kind of debt-to-NOI. Just recognizing a small company, our G&A, which we continue to leverage as we grow our NOI does take up a little bit bigger chunk than our peers. But that said, we still want to keep that debt-to-EBITDA measure pretty close and in line with our peers, as well as we will look at other metrics as well, but we are focused on being pretty reasonable here.
Craig Mailman: Okay. And then, the accordion feature on the term loan, what would be the pricing if you guys were to kind of exercise the incremental $250 million?
Michael Gamzon: Yeah. Jon or Ashley, you guys want to fill in on that.
Jon Clark: Yeah. Michael, I can take that one. Hey, Craig. The pricing would be whatever pricing would be prevalent at the time. It basically lines up our syndicate to be able to provide us a term loan, but we didn’t set pricing. Still our spread to SOFR is what it is and we would hope to be able to achieve something similar.
Craig Mailman: And the syndicate is definitely there, right, if you want to take it down. There’s no way for them to get out of that commitment?
Jon Clark: Yeah. The syndicate is a decent sized group. You could always have one bank or two banks in the syndicate that decide they don’t want to do term loans at any given time. I think that’s one of the benefit of, frankly, having a really strong group of supportive syndicate banks. At any given moment, a particular bank might not want to do a term loan, but the others will step up. So we also could always add another syndicate to it if we wanted to. But we think we have got a really strong banking group, and we really appreciate all their support and we think they will be there for us if we wanted to increase the term loan borrowing.
Craig Mailman: All right. Great. Thank you.
Michael Gamzon: Thanks, Craig.
Operator: The next question is from Tom Catherwood with BTIG. Please go ahead.
Tom Catherwood: Thanks, and good morning, everyone. Maybe sticking with kind of one of Craig’s questions, Michael, how much capacity do you kind of feel comfortable with for pursuing opportunistic investments versus kind of funding developments on owned land right now?
Michael Gamzon: Yeah. I mean, again, I don’t think we have given specific targets out in terms of dollars and amounts. But I think we are looking at both. We think we have capacity to do some of each. Again, on developments as discussed between land and future development. There’s really not significant capital for that other than finishing the one deal in our pipeline for quite a while. So, in some ways, if we find land that we like or really a year away from funding the land and then if we commence construction, that will fund over the following year. So we feel that gives us time to assess over time where our capital is, what capital is available and at what cost to influence that, obviously, if we are looking at buildings or acquisitions in the market today, we obviously need that capital much more immediately. So we think there’s capacity for both. Again, the land and development is going to be a much more longer tailed, but we think we have capacity to add incremental acquisitions today, if we find the right opportunities, and again, it’s kind of an interesting market. There’s very little trading. From our point of view, most of the things that we have seen that have closed in the markets we track or have been awarded and suppose they are going to close soon. We will have to see, obviously, they have been in the market. Typically have been at cap rates below where I think everyone would expect things to trade based just on the news and headlines. And so we are still going to look, we are not sure we have found the right opportunities for us yet. But we think we have capacity, and again, we have some optionality in our balance sheet and our debt capacity and continuing to recycle capital.
Tom Catherwood: Appreciate that, Michael. And can I stick with that cap rate comment that you made, obviously, you are in a select targeted set of markets. But with the comment that the cap rates on transactions would be below kind of what the market is expecting right now. Do you have a sense of how much cap rates have moved in your specific markets?
Michael Gamzon: Yeah. I think, akin to that comment, it’s really hard to pick a number, because it’s sort of -- there’s so few deals, they just feel almost your cherry picking. I can give you an example, in Charlotte, there was a nice portfolio located near the airport. It had three and a half years of weighted average lease term. We thought the rents were kind of 25% to 30% below market, about a 600,000 square foot portfolio. We have heard that’s been awarded, went through kind of a multiple round process and so this is real time last month and we have heard it’s kind of a 4.2%, 4.3% cap rate, which I think feels pretty low. I’d say peak of the market, maybe I would have guessed that would be kind of a 3.8%. So has that moved 40 basis points, that seems pretty tight compared to where debt spreads have widened and other things. But that’s where that’s traded. We know there’s been a closed deal in Savannah with not a lot of mark-to-market and five years of lease term that traded at a 4.25%. Again, it’s not a market we are in. We have mentioned in the past we look at it, so we track it a little bit. That feels pretty low. There is a deal kind of in the Berks County, which is kind of the Western submarket of the Lehigh Valley. We feel the core of the two eastern counties. But this is further west. So we think it’s not as good a location typically is traded wide of the Lehigh Valley and that closed, I think, two months ago at 4.25%. So it’s really hard to say exactly how much things have moved. Some things that are going to have a very, very long 15-year or 20-year single-tenant net lease with not a lot of bumps, that’s going to be typically wider, probably, 100 basis points to 125 basis points wider. These other deals are anywhere from, call it, 25 to 75, but it’s really hard to put a pin on it.
Tom Catherwood: Got it. Really appreciate that color, Michael. Thank you. And then last one for me, Jon, on your guidance from or for NOI from continuing operations, it seems like some of that boost was from early development stabilizations in the quarter, but kind of by our back of the envelope math, it still seems like there’s $0.02 a share. So kind of higher run rate that exceeded your 2Q expectations. Is that directionally correct, and if so, kind of what’s driving this higher base run rate?
Jon Clark: That’s true. There’s a slightly higher base run rate, part of which is related to the Paragon assets that we leased, as Michael had mentioned, to an investment grade retailer. But, yeah, you are likely seeing a run rate a little higher than Q2.
Tom Catherwood: Got it. That’s it for me. Thanks, everyone.
Michael Gamzon: Great. Thanks, Tom.
Operator: The next question is from Mitch Germain with JMP Securities. Please go ahead.
Mitch Germain: Thank you very much. So the Paragon asset, did that -- I know that, that’s leased is that commenced as well at this point?
Michael Gamzon: Yeah. That lease has commenced. So it’s pretty fast moving.
Mitch Germain: And how long was that in the quarter?
Ashley Pizzo: That lease commenced towards the end of the quarter. But I think in our last iteration of guidance, we had been conservative and expected that asset to stay vacant through Q4.
Mitch Germain: Okay. Got you. And I am just curious, I think, Jon’s commentary, you talked about same-store, potentially some leasing that you guys have to do next year. I am just trying to understand the cadence of occupancy, obviously, it declined from the delivery of the two Orlando properties not being fully occupied. But I am just trying to understand kind of cadence of occupancy as we kind of move forward over the next couple of quarters?
Michael Gamzon: Yeah. I will start and Jon or Ashley can chime in. I think in my remarks, I mentioned, we have the one tenant that’s kind of tripled in size in our Connecticut park. They are leaving probably earlier than we expected their existing facility. I think the good news is we sort of delivered the new facility a little earlier than we had sort of expected and they were able to get operational quicker than they had thought. So they are moving a little bit earlier out of the other facility. So I think, we are saying that, that likely probably doesn’t get backfilled in the fourth quarter. Mitch, we are seeing good tenant interest in that space as well, but just by the time you sign a lease and get things going, it probably takes a little while. And then other than that, we have a little bit, probably, not a whole lot that comes up in 2023, but even just having one vacancy that’s less than 1% of our portfolio is still going to impact same-property NOI when we were 100% in the same-property pool, I think, for the last five quarters or four quarters or five quarters. So I think that’s -- there’s not a lot of vacancy coming up, but we think there’s kind of this one that we, obviously, are going to work to lease and feel good about the opportunities there and have a couple of small leases coming up in 2023. I think that’s what he was alluding to, I don’t know, Jon or Ashley, if I missed anything there.
Jon Clark: No. You have covered, Michael.
Mitch Germain: Great. Appreciate it. And so I am trying to understand, Michael, about your willingness to develop in this market. We have got a couple that delivered. We have one underway. We have some land that’s being craft or secured. So is the goal as that land becomes available to commence or are you likely to begin some pre-leasing efforts before you put any real capital behind development here?
Michael Gamzon: Yeah. I think, as we disclosed, we have one project under development and a couple of the forwards coming next year. We feel great about that portfolio. On the other land sites we have disclosed and landside we are looking at today in the market, our view is we are just going to evaluate market conditions and decide if we move forward or not. The two -- the one other land that we currently own today that’s entitled is also in the Lehigh Valley. I think our view is let’s get the one building we have further along and then consider that other building. The other thing with that land site is we are looking to see if there’s a land site that’s adjacent to it that we may be able to purchase and combine to make the site plan, grow the building a little and change the site plan. So we are sort of working on that as well. So every land site that we have that’s either close to entitlements or entitled, we are going to market as a pre-lease or a build-to-suit for sure, if we haven’t started SPAC. But I think on SPAC, we are just going to wait and see on future market conditions based on the current pipeline we have and in the markets we are in. And we think land continues to be, as I mentioned earlier, really hard to find good land sites. It’s -- once something is built on the land side, it’s a building and buildings kind of trade and just becomes really a price question, but there’s buildings in every market. You can buy a building and you just have to pay the price. There just isn’t going to be land in all the markets we are looking at and located in the locations we like. So if we can find a really good strategic land site that we think is going to generate good returns over time. We are sort of motivated to try to figure out a way, assuming the returns pencil out to be certainly better than if we acquired something, we are going to look to do that.
Mitch Germain: Great. Last one for me and I have to apologize, I had some IT issues. Of the asset sales, $35 million, I think, Craig asked about. How much of that is land versus occupied properties, I am just trying to understand just..
Michael Gamzon: Yeah. So it’s $11 million of that is the office flex portfolio that’s in our discontinued operations. So in our NOI numbers and our core FFO numbers, that’s been stripped out already and it’s discontinued op on our balance sheet.  So there’s really no -- in the metrics sort of, I think, we generally sort of report and talk to two that income is not in any of that and that’s $11 million. The other $25 million are three separate land parcels, none of which produced any income. They are all effectively unimproved land, if that added...
Mitch Germain: Appreciate it. Thank you so much.
Michael Gamzon: Perfect. Thanks, Mitch.
Operator: With no more questions, this concludes INDUS Realty Trust 2022 third quarter earnings call. Thank you for joining us and enjoy your week. You may now disconnect.